Operator: Thank you for standing by and welcome to Perseus Mining's June 2018 Quarterly Conference Call. All participants are in a listen only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Jeff Quartermaine, Managing Director and CEO. Please go ahead.
Jeff Quartermaine: Thanks very much and welcome to this conference call. I’m joined here in Perth by Elissa Brown, our CFO who will assist me with any specific questions that you might have later in the call. Now for those of you who have an opportunity to read the report that we released in the market earlier today, and of course for the benefit of those who haven’t yet have the opportunity to go through it, it’s very apparent that the results that Perseus has achieved in the June quarter and indeed the June half year and 2018 financial year, it appears that we've overachieved and certainly validates the Company's corporate strategy of transitioning from a company -- from being a single mine operator basically to a successfully multi-mine multi-jurisdictional gold explorer, developer and producer. Now as pleasing as the results are, we don't regard them as any cause for special celebration, the way we review these results is that they simply reflects the results of our executing our plan to aggressively improve the quality of our asset portfolio and then improve the consistency of our performances, such that we way of the Company to be relied on by our shareholders to deliver attractive outcomes. Now at the same time, however, I do note this is the sixth consecutive quarter where we have delivered a solid quarterly performance so as that measure the consistency that we’re seeking is started to materialize. But you should also note that in terms of improving the quality of our asset portfolio, our cause has been advanced this quarter by the performance of our second mines Sissingue where our team was able to record a very low operating all-in site cost of $520 an ounce, and at the same time, exceed our production targets but more of that later on. Edikan, it's also -- as I mentioned, with this quarter towards improving asset quality as well with incremental improvement, recorded in the second best ever production results since commercial production started in 2012 and doing this at a reduced all-in site cost. So bit by bit, we're steadily upgrading the quality of our assets. Now with an eye for the future, what we’ve achieved this quarter in terms of our cash flow is also very important, particularly in the context of continuing to improve the asset portfolio and driving us towards our goal of producing approximately 0.5 million ounces of gold annually from three mines by 2022. With the cash balances that we're building, the funding task for the development of our third mine in Yaoure, without recourse the equity market is becoming very realistic and doable proposition by some current market conditions, and I'm sure our existing shareholders will be very pleased to hear this. Although, those potential investors sitting on the side line waiting for an opportunity to purchase discounted stock might not shares that are enthusiasm so much. But anyway, so let’s turn to the quarterly and talk about that. So looking at the Perseus Group as a whole, across the base of our operations, we produced a combined total of 83,881 ounces of gold for the quarter, 57,861 those ounces coming from Edikan and 26,020 ounces coming from Sissingue. Now that’s 31% more than the amount produced by the group in the previous quarter and 63% more that in the corresponding period in 2017, so very marked increases in our production. For the half year, we've produced 147,909 ounces and for the full year that translated to 255,916 ounces. Both of these amounts represented new production records for us and both are comfortably within the previously announced production guidance ranges of 140,000 to 160,000 ounces in the case of the half year and 250,000 to 285,000 ounces in the case of the full year. Now both of these results were materially greater than in prior corresponds periods, so 37% greater than the December half and 45% greater than the prior financial year. Now in terms of costs, the quarterly production at Edikan was $970 per ounce that's U.S. dollar and the all-in side cost was $1,090 per ounce, both better than the prior quarter and the corresponding period in 2017. And not to be outdone as I mentioned earlier, the production at Sissingue -- production cost at Sissingue was $462 an ounce an ounce with an all-in site cost of $520 per ounce. Now when combined, this resulted in a weighted average all-in site cost for the group of $913 per ounce, which is 17% lower than the group reported all-in site cost last quarter, so we've seen improvement both in terms of production and in terms of cost. Now looking forward, production guidance for the December quarter -- the December half year I should say, has been set at 130,000 to 150,000 ounces at an all-in site cost of 950 to 1,150 per ounce. Now based on actual operating performance at both Edikan and Sissingue subsequent to the end of the quarter, so first ten days at least of the quarter this production and cost guidance may prove to be slightly conservative, however we are in the process of transitioning to higher roles we haven't yet got to that, we're processing bauxite ore at the moment, and therefore recoveries and throughput rates for these are yet to be concerned and certain assumptions that we made regarding the potential impact of weather on our operating performance also remain to be validated. By the end of the September quarter, we should be through the worst of the West African rainy season and we'll also have started to mine transitional and fresh material at Sissingue, so we should be in a better position at that stage to make an assessment as to what we will deliver for the half year. And if necessary, we'll be in the position then to modify our guidance. Returning to this current quarter, we sold 82,251 ounces of gold during the quarter and we achieved an average price of $1,312 per ounce. That's across the base lines then we generated material amounts of cash at both of the mines. In fact, based on this average gold price and our average all-in site cost, the average margin that we generated was $399 per ounce. So when you multiply that out with the number of ounce sold, we've generated a notional free cash flow from our operations of about $33 million. Now obviously not all of this cash goes directly to the bank balance and we have the service desk, high corporate costs and also we choose to explore, we also have movements in debors and credit, but after all these things have been taken into account, at June 30 our cash balance, balance of cash in bullions Australian 89.8 million so about a AUD90 million and that translated to U.S. dollars of U.S. 66.5 million. Now, this is about AUD30 million or 51% more than the balance at 31 March and its AUD44.5 million or 98% more than the balance in the last year so end of December 2017. So as you can see, there's been a very material increase in those balances of cash and bullion on hand. Now, given that we’ve outstanding bank debt at the end of June, we’ve decreased that to 63 million in accordance with our payment schedule, that gives us a net cash and bullion position at the end of the quarter of positive $3.5 million. So, ineffectively, we’re in a position where we could totally extinguish the Sissingue project debt and working capital facility and still have cash in the bank. So, in other words both of our mines have been fully paid for and we have cash in the bank. Now, as I said earlier, this material growth in cash and bullion is very important to Perseus in the context of our ability to commence future growth in the Company. And we fully extend this trend of cash generation to continue in coming months, in fact as late as last Monday, our cash and bullion balance had already increased by about $6 million, thanks to the receipt of the VAT refund from the Ghanaian government and also pouring some gold at Edikan. So the trend is certainly well established and we’re looking at that very favorably. Now, if we look into the operations starting with Sissingue, as you’re aware we detect commercial production at the mine at the end of the March quarter. In the June quarter, Sissingue produced 26,020 ounces as I said. The mill’s head grade averaged 2.1 grams a tonne and the mill throughput rate averaged about 200 tonne per ounce. The run time for the quarter equated about 92% of the available time and this is interesting because at the start of the quarter we were running at a much higher rate around 94%, but as the rainy season set in, we had to literally shut down mining and milling operations from time to time until storm stopped, and so we averaged 92% for the quarter. We’ve actually learned to cope with much better with the rain, and given that towards the end of the September quarter we should be into threshold, the weather issues that have impacted operations this quarter should start to have a much smaller impact as we go forward. So, that’s a pleasing feature. Now perhaps the most important and pleasing KPI this quarter is the gold recovery right that we’ve been achieving which has averaged 97% or about 6% higher than now, and issue forecast. I’d just stress that at this point we are processing oxide also too early to be projecting these figures to the life of the mine but it is an upside. We’ve made a very good start and hopefully we can get some similarly good outcomes when we start to process the transition on the threshold next quarter. But I guess you’ll see. In terms of grade and tonnage reconciliations, a study on the reconciliation of tonnes and grade between the Sissingue reserve model and the mill for the period started from the commence of the mining in November ’17 through to the end of the quarter indicate that we’re getting 9% more tonnes of all. 1% lower head grade and that translates to 8% more contained ounces of gold. So, while it is still relatively early in the mine life as I said we’d be drawing definitive conclusions, the result of this study are very encouraging and certainly suggest that the orebody is performing slightly above our expectations. In terms of operating costs as I said earlier this quarter we performed extremely well on cost to production. Production cost came in at $462 an ounce, so all-in site costs at $5.20 an ounce and without wishing to take away from the excellent results, I should however note that we do expect increase in cost in coming quarters when we start drilling and blasting of the fresh ore, and that will add something around 100 plus dollars an ounce. The cost depends on the number of ounces produced of course, but in any event, even with this increase, we expect that the cost from Sissingue will remain extremely competitive as we go forward. So, during the quarter, we saw 25,600 ounces of gold from Sissingue, we achieved average -- an average price there 12.91 an ounce, that gave us an average cash margin of $7.71 per ounce sold, which converts to national free cash of about $19.7 million, 20 million for the quarter and that incidentally represents 60% of our motional cash flow, free cash flow from operations. So Sissingue is up and running, while it is a smaller mine relative to Edikan, it's very lucrative and makes very significant contribution to the Company. In fact, we have to say Sissingue seriously punch above its weight in the June quarter and we have every reason to believe that the strong performance will continue going forward. The biggest single issue associated with the Sissingue mine is the mine life which is at this moment stands at about 4.5 years. We think that the prospects of extending the existing mine life are very good, as our exploration team has been following up several near mine exploration target over the last quarter. And we are confident that one or more of these will ultimately yield additional mills for the Sissingue plant. We do have a serious of backlog of assays at the moment, but based on the fewer assays that we have received back from the lab, we do have a few very encouraging snoops around Fimbiasso assay and Papara to the north of Sissingue and also adjacent to the Sissingue could itself. And we'll be following these up with some vigor when we get the full dataset back from the assay labs and then can start developing targets with an exercise of drilling, and possibly even be in a position to re-estimate the Sissingue mineral resource in the next quarter, all the quarter following from that. So, we are particularly encouraged about prospects of extending the life there. Now, turning to Edikan. During the June quarter, we've produced 57,861 ounces of gold, continuing the trend of strong production performances that we have achieved in the previous five quarters. And this production levels up of that 6% on the previous quarter where we did 54,000 of ounces. Gold production for the quarter was influenced by several factors. The run time of the plant was 5% higher than the previous quarter and early rates were about the same as the prior period. The grade reconciliation remains satisfactory. Reconciliation of gold from -- containing the resource model to grade control is very close to a 100% across all pits and the reconciliation between grade control and the mill -- the mine call factor is currently within accepted industry standards. So, there's no drama there in fact we have a couple of initiatives in hand where we may even be able to improve that situation even more. We are currently mining from four different pits and due to the variability and all hardness, head grade and metallurgical recovery. We need to once again very carefully manage the blend of ore fed to the mill. As a result of that, we do achieve a 6% higher head grade after the 1.21 grams per ton relative to the previous quarter. But the head grade was -- of the ore was not as high as possible and some high grade ore was that from this run-of-mine stockpiles at the end of the quarter to be priceless in other periods. It is a challenge to get things right on this run. Now turning now over there at Edikan, doing a terrific job in trying not only to hit their target, but where possible do better, and the most respect is worth noting that as of the 10th of this month, we are running about 11% of July budget. So it's pretty clear that the team is doing something right over there and we have to thank them for their efforts. Of course, we do the team at Sissingue, who are doing an outstanding job in bringing that mine through and beating their targets very easily as well. And with respect to the all-in cost at Edikan, these both have improved incrementally during the quarter on a cost per ounce base, unit production costs that includes all mining, all waste, stripping, processing, G&A, but excludes royalty were down by about $23 an ounce to $970 an ounce and that compares favorably to the $993 from last quarter. The all-in site cost for the quarter was $1,090 an ounce and it was slightly lower than the previously reported all-in site cost. The swing factors in the difference between production and having all-in site cost obviously royalties and sustaining capital. The average price of gold sold during the quarter was 1317, so 1,317 per ounce generating a positive cash margin of $227 an ounce at Edikan, which translates to a notional cash flow of about $13 million, which in itself is not too shabby given that we have a low base being able to achieve that amount of cash flow. So all-in all Edikan is tracking fairly well at the moment and the fact is that it is a challenging mine with precious little room for error. We do make reasonable cash flow from the mine, but we’re always looking to for opportunities to improve this business. And in saying that, I can say that we’re working on a few interesting initiatives at the moment aimed at increasing cash flow from the mine and we hope to be mature these thoughts and share that with the market in not too distant future. So, I should say having a second mine in operation certainly means that we are no longer totally dependent on Edikan for our survival, and this allows us the latitude to think a bit outside the square for the first time and hopefully create additional value for shareholders that certainly what we’re aiming to do. I mentioned earlier our third project Yaoure in -- as I mentioned, that in the context to saying that strong generation of cash yielded very well for the financing of the project. Now, all these things that we've done this quarter to advance the Yaoure project towards the development decision may include the following. So, we got started on the frontend engineering and design for the mine. We've engaged the services of Lycopodium to undertake this task. Now Lyco, very well known to us given that we work together at Edikan doing some upgrade work, but also more recently to deliver Sissingue ahead of schedule and on budget. We both learned a lot of lessons from this exercise and Lyco also learned a lot more lessons from their very successful work on other West African mine developments including Agbaou and Hounde for Endeavour, and not to mention Mako for Toro that produced its first gold on the same day at Sissingue earlier this year. In any event with the wealth of experience available to us, we’re working very well on this exercise. A day or so ago, we had a very constructive discussion on arrange value engineering issues and the confident that the FEED study will be completed and a budget will be delivered in early October 2018 with an accuracy of plus or minus 10%. Also during the quarter, we -- after a review by the Mines Ministry and the Minerals Commission, our application for an exploration -- exploitation permit was forwarded to a ministerial committee for final sign up before forwarding to the president of Cote d'Ivoire, who will ultimately grant the permit. And fortunately for us a reshuffle of chemist occurred very light in June which derail the prices temporarily, again that it's back on track now however and that that the inter-ministerial committee is going to be meeting next week. So hopefully we have some positive use from that. I’m heading to West Africa this weekend and I expect that hopefully we will be able to meet the new minister for mines and hopefully we will be able to bring the permitting exercise to a close, so looking forward very much to that. And negotiations of the terms of the mining convention incorporating a guarantee of fiscal stability to apply for the projected life of the mine will start immediately following the granting of the EP and so that's one reason why we're very keen to get that milestone behind us as soon as possible. And of course with the granting of the license, we'll then be able to finalize compensation payments to land and crop owners and move on with some early site works around the Yaoure area to secure the mine site and facilitate a record ramp up with full scale construction once the development decision is taken. Also just after the end of the quarter actually, we completed a drilling program at Yaoure and confirming the existence or otherwise of mineral resources in areas where mineralization have been identified during early sterilization programs. We also -- this program of work also included drilling aimed at upgrading the inferred mineral resources to an indicated category in areas where pit optimizations were completed during the recent DFS study and where we identified additional potential for reserves. Now, as I said that drilling is now completed when we get, we've got about 17,000 drill samples pending from the labs in Abidjan. And when these results are received and we expect that, that will be either late July or early August and then subject I guess to the results that we get we intend to prepare a revised mineral resource estimate and we'll be publishing that hopefully during the September quarter. The other major initiative that we have progressed this quarter for our Yaoure is concerned, relates to project funding. And with the assistance of that corporate adviser, Gresham Partners, we evaluated a range of alternative funding mechanisms with the eye of identifying the optimum funding package available to us. We determined that provided that there are no material changes in the market conditions and operating conditions of the two gold mines, the optimum results to shareholders will be achieved by using a combination of internally generated cash and possibly including proceeds from the exercise of warrants that mature next year sometime in April and also a quantity of debt funding to fund the Yaoure relevant. So to be fairly clear at this stage, I have to say there is no plan for an equity raise to fund this project. We can very comfortably fund the project using that combination of debt and internally generated cash. At quarter end, the preparation of the new information memorandum needed to approach and seek funding proposals from a range of prequalified debt providers as well in hand, and activity associated with the range of the targeted debt funding will be significantly escalated in this coming quarter with an aim of having committed offers of funding to hand in the December quarter when the Board of Perseus is aiming to review all aspects of the projects, and hopefully take a -- hopefully consider a full scale development decision. So, the Yaoure project is also moving forward fairly much to plan and we're very excited about this. It will make a major contribution to the Company, if it’s executed in the way that we anticipate. We have an excellent team to execute the project development as we ably demonstrated by the very slick Sissingue development. And as soon as we're confident in our ability to fully fund the project, we will get underway with development. So I guess in conclusion I just want to say, I mean at the end of the March quarter on the teleconference I said the following, I said if we can make a couple of quick observations about this and I'm talking about our quarterly production at the end of March. You'll notice that for us to hit the guidance, we made a fair increase in production in the June quarter relative to the March quarter. We are confident about achieving this for various reasons not the least of which is, we will have full three months of production from Sissingue and all out still early in the quarter by their mines and tracking well ahead of internal forecast at this stage, so in the absence of any unforeseen event, we are quietly confident of delivering on plan. I’d just like to say we do just that, we delivered on this promise and we’ve also delivered on the promise to drive down our costs, and to generate cash and to advance our third develop -- mine development at the Yaoure. We do expect to continuing doing this going forward, and in the process we do expect to continue to transform Perseus into a reliable, profitable, politically diverse, geophysically diverse multi-mine operation, from which our shareholders stand to materially benefit. And we do think our shareholders all the support that they’ve shown us over the last 18 months has been able to get the mining operations doing what we expected them to do. So, thanks very much. I am not happy to take any questions that you might have.
Operator: Thank you. [Operator Instructions] Your first question comes from Reg Spencer from Canaccord Genuity. Please go ahead.
Reg Spencer: I’ve got four questions, if I may. The first one relates to your guidance. Are you in a position or would you be willing to provide a guidance split on asset-by-asset basis? Specifically, if we have a look at that overall growth number, I guess it could imply a flat production performance at Edikan, and I guess the following question from that is. How should we be thinking about grades with respect to what you guys have suggested in the past with your ore blending requirement, selling cycles, and how that might deviate from your previous published Life of Mine Plan?
Jeff Quartermaine: Well, look as far as the guidance is concerned, I’d say two things about the guidance, one is -- one of the things we’ve been striving to do at Edikan is to be a consistent and reliable producer, so in other words hitting our targets, so that has been at the back of our mind in freshening this guidance. Now the other point what I made earlier, and I said there are a few unknowns in terms of how things will pan out over the next few months as we move forward with developments, there’s an element of conservatism attached to our guidance, I do acknowledge that. In terms of giving these splits, no, yes, I’m certainly in a position to do it but I am not guiding to it, sorry about that. But the guidance that we’ve given is very clear, I think if you work on the basis of splits similar to what we’ve achieved this current quarter and quantities around this quarter then you’re not going to be very far up the mark, I mean let’s not be confused about what this guidance is -- guidance is guidance it’s not is some preordain outcome at the end of the day, what we’re saying this is what we approximately think we’re going to do in the forthcoming quarter. Now said that, having, delivered -- without some quarters where we’ve done pretty much what we said we plan to do and I think you can rely on that’s going forward.
Reg Spencer: Next question just relates to Sissingue. You’ve made sure in the past that you’d be looking to provide an update at Life of Mine Plan, is that still due for the September quarter or the back half of this year?
Jeff Quartermaine: Certainly, the back half of this year, I mean we’re aiming to get it out as soon as we practically can, I mean we do have as I said in my earlier announcement there. I mean we’re getting some drill results through and of course that means that we’ve got additional and we’d like affect that into things as well. So we’re certainly working towards that, it will be later this year, and earlier as I said, we’d like to be able to feature in that, if it's all possible. If there are any changes in a full cost of recoveries and throughput rates in the like relative to the DFS, we have seen in the upside ore, material improvements relative to the DFS. We don't know whether those will be delivered when we hit them harder ore, but certainly in next couple of months we are going to reveal that for us. And if there are -- if there is evidence that improvement such as that can be sustained and will be factoring those into any adjustments, we might to like the mine plans.
Reg Spencer: Next question is a quick one just relates to your debt. Can you remind me what the plan is in terms of current repayment for your repayment requirement on your existing debt? And I guess we would then have to wind in terms of what's the overall mix might be when it comes to the ore rate? But can you remind me what your obligations would be over the next 6 to 9 months?
Jeff Quartermaine: Well, firstly, we will be paying down roughly about 5 million this quarter. But look, frankly, that's fairly relevant in the go forward plan because while what we expect to be doing is to putting in place the revolving line of credit. Now soon as we do that, we will repay the existing facilities and then 100% of the cash flow from those operations will become available to the deploy into the development of the Yaoure. So whatever the repayment plan is now for those two facilities will only be relevant once the new facility is put in place.
Operator: Your next question comes from Dylan Kelly from CLSA. Please go ahead.
Dylan Kelly: Just had a question just around the recoveries at Edikan, can you just explain just why the why the drop off quarter-on-quarter variance and exactly what happened?
Jeff Quartermaine: No, it goes to this blending issue. We've got -- unfortunately for us, and this is nature being it's cruelest and very high grade material coming out of the Bokitsi and Chirawewa, that gold is quite far in ground and it's also associated with some carbonaceous material now. The temptation is to put that high grade material through the mill as we mine, but as we do that we experienced a drop-off in recovery. So we need to balance that out with some of the material coming from Esuajah North and Fobinso. So, in order to be able to keep the recoveries up, now that material, there is some of that stockpiles, some of the very high grade material stockpiles and will be progressively fed through in coming quarters. Now, we try to maintain a blend of around 10% of that material, every now and then, the enthusiasm gets better of us and we put a bit more in. And within the couple of days, you can see the impact on the recovery side. It is a day-to-day proposition and it's getting us balanced right as kind of tricky and we have to be a bit disciplined in not trying to overdose with the high grade material. But as I that said, we still delivered some pretty good outcome, so I wouldn’t sweat too much on that recovery. This then just to put in perspective, so this for the last 10 days, we've a concerted effort to wind back material and we've seen the recoveries bounce back up to close to where that were before. So, this is a -- it's a temporary dip and we do understand what the courses are. We don't have the ability to grow and find it than we currently are doing, we not if we did, but we don’t have that ability with the equipment that we have.
Operator: Thank you. Your next question comes from Michael Slifirski from Credit Suisse. Please go ahead.
Michael Slifirski: Tremendous to see that cash on the balance sheet that's simply absolutely tremendous, it's been a long time coming, but this to say it endorse your hard work and that plans that’s really tremendous. Two questions for me if I may please. First of all the commentary made about Edikan's interesting initiatives to improve cash flow, is that a factor involved in you, not giving full year guidance, only giving first half guidance? And while I would have the first half is probably more difficult to predict given the uncertainty about Sissingue with sustainability of over core soft material and so on. So is that reflecting potential adjustments that you might make to the Edikan plan that could impact, what you would otherwise guide on a full year basis?
Jeff Quartermaine: We’re fairly certain that in the next six months in terms of what we would be doing in Edikan, but beyond that depending on how our deliberations go, there may be some changes aimed at improving the cash flow from the mine. Now, we didn’t really want to make full year start and then have to after all through materially later on. So, we think that going with six months where we have a reasonable level of certainty, although having said that, the point that I did make earlier is relevant around Sissingue performance and weather impacts and things like that. There is level of uncertainty, but we feel we just stick to what we were confident with it.
Michael Slifirski: Second question again on Sissingue is the positive reconciliation between head grade and model. How far ahead do you growth control and what insights are you getting form the product control really in terms of how long that might be sustained? Or actually is any of the growth control drilling extended it into the sort of lots of mine more average or to give you insight as to have that might what compare to the original model?
Jeff Quartermaine: We got three months ahead of us and we’re -- we do have couple of benches drilled, and we’re pretty comfortable with those numbers coming through. It's an interesting ore body actually because -- and I think this is something that's always been forecast going right back 5 or 6 years ago. The potential on this ore body is for over performance because there is some very, very high grade veins that don’t get picked up in the resource model that are there in the pit. And so what that means is that grade control is very, very important as of course is the work of that pit geologists to visually identify material that's coming through. And in fact, one of the things that will contribute slightly to a slight elevation of that cost relative to the Life of Mine Plan is that we take into decision to in fact drill grade control holes of 30 meters instead of shorter holes to give us further insight guide and also the close up the patterns, so that we don’t miss any of these whole grade appearances. So all in all we’re pretty come to with what we’re seeing going forward and we’re not necessarily seeing all of these high grade areas until we actually get the mine. But this is interesting because at times when we thought we were processing so called low grade stockpiles, we've been very, very pleasantly surprised with the grade that's going through of these low grade so far in fact they aren't that low grade after all you know in certain areas. So, it's a -- this a very geology intense mine, it means that we really have to work very hard to make sure we capture full value. And if we do that and we do stand to be very successful from it.
Michael Slifirski: So the quite -- the inference from that is you're getting positive reconciliation between great controlled drilling and the resource model and between head growth and the grade controlled drilling.
Jeff Quartermaine: Between, we're giving positive reconciliation from resource model to mill. So that takes into account resource models of grade control and grade control to mill. So resource model to grade control is pretty close and then we're getting grade control to mill is positive. Now one of the things I should say and I did say this in my earlier thing, let's not project too far ahead on this because our figures that we've quoted or we've talked about they go from the start of mining in November '17 through till now. And you'll need upper benches of the ore body we actually experienced significantly higher ton significantly lower grade less contend gold. Now as we've gone deeper that has reversed and it's gone -- well, not reversed we've had more tons where we've had significantly overcall on grade and significant overcall on containment, which over that extended period has given us the figures that I said, so you know roughly 8% more in contained metal. Now one of the things that we're not absolutely clear about and this is why we're being a little bit hesitant to you know to get too carried away is that whether the results that we're seeing now represent like a supergene layer sitting above the fresh material or does this higher reconciliation continue down into the ore body. Now we don't really know, the skills of thought on both accounts that may be supergene and the supper performance may not continue going deeper. But then on the other hand there's another school of thought that just says, if it's actually just the top 15 or 20 meters that was depleted from weathering process. So, yes, we don't know Mike and that's why we're being a little bit hesitant to get carried away in making you know bold forecasts here.
Operator: Thank you. That concludes our question-and-answer-session. I'll now hand back to Mr. Quartermaine for closing remarks.